Operator: Good morning. My name is Natalia, and I will be your operator today. Welcome to the Ecopetrol's Earnings Conference Call, in which we will discuss the main financial and operating results of the first quarter of 2025. There will be a question-and-answer session at the end of the presentation. Before we begin, it is important to mention that the comments in this call by Ecopetrol senior management include projections of the company's future performance. These projections do not constitute any commitment as to future results nor do they take into account risks or uncertainties that could materialize. As a result, Ecopetrol assumes no responsibility in the event that future results are different from the projections shared on this conference call. The call will be led by Mr. Ricardo Roa, CEO of Ecopetrol; Rafael Guzman, Executive Vice President of Hydrocarbons, Camilo Barco, CFO; and David Riano, Executive Vice President of Transition Energies. Thank you for your attention. Mr. Roa, you may begin your conference.
Ricardo Roa : Welcome to the first quarter results call of the Ecopetrol Group for 2025. The first months of the year were marked by high global uncertainty with a notable volatility in Brent prices, driven by geopolitical tensions and increased supply from OPEC+. These factors required the activation of different plants to address lower price as synergies. At Ecopetrol, we have historically anticipated these challenges with a strong strategy, diversifying our customer base, enhancing our commercial management and maintaining operational and capital discipline. . This approach has enabled us to navigate the environment confidentially and take advantage of the opportunities that emerged. At the hydrocarbons line, we closed the quarter with an average production of 745,000 barrels of oil equivalent per day, in line with our annual goals and maintaining a growing trend despite local events. We are moving ahead with our exploration campaign and have achieved important milestones in the Caribbean offshore and our operations in Brazil, our reporting commitment to growth and the sustainability of reserves. In transportation, we maintain our resilience controlling social events, preserving operational continuity while developing key infrastructure to reduce the time and cost of logistics for our crude oil and refined products. Regarding our refineries, as anticipated, the throughput was temporarily affected by scheduled maintenance shutdowns according to the plan, ensuring safe, reliable and efficient operations. The refining margin decreased by $3.9 per barrel compared to the first quarter of the last year, explained by 53% due to product differentials, 30% due to the scheduled maintenance, 14% due to unplanned operational events and 3% due to other events. Among these events, there were energy issues at the Cartagena Refinery, where we maintain our mitigation plan in progress. Let's move to the next slide, please. We firmly believe that natural gas is a key energy source for the energy transition and the electrification of the country. We continue contributing to national supply with significant progress in the development of fuel gas along with important milestones such as the signing of the regasification services contract on Colombian's Pacific Coast. This project has a potential of 60 giga BTUD and is expected to begin operations in the second quarter of 2026. We are also advising the Caribbean regasification project, which will leverage Ecopetrol Group's assets to commercialize up to 250 giga BTUD with an estimated starting 2027. Our Executive Vice President for the Energy Transition will provide more details about these projects shortly. I want to highlight that Ecopetrol Group supplied approximately 68% of the country's natural gas demand during the first quarter, reproving our critical role in the Colombian energy security. In renewable energy, we remain committed to achieve 900 megawatts of self-generation capacity this year, actually expecting to surpass 1,000 megawatts. This will allow us to continue reducing energy costs in our operations and to maintain our position as the leading self-generator of renewable energy in the country. During the first quarter, our energy efficiency program generated savings of nearly COP 23 billion, reaching a total 21 petajoules since the program began in 2018. Finally, we continue to achieved manage environmental licenses and the complementary regulations required to legally enable our energy transition projects. Let's move on the next slide. Financially, this was a stable quarter despite lower Brent prices. I want to highlight several aspects. First, we continue to strengthen our efficiency program, optimizing cost and generating more value for every invested dollar as part of the company's future, which is reinforced to face current scenarios. Secondly, I want to highlight the progress of the investment plan for the year, which has reached near to the 20% execution. This progress has been affected by external events in the Rubiales, Castilla and Caño Sur field. However, we have achieved important advances in efficiencies through new initiatives in drilling and completion in our operations in the Permian and through circular economic projects evolving material reuse. Thirdly, I want to mention that we received early payments from the Fuel Price Stabilization Fund by the government, covering the balances of the second, third and fourth quarters in 2024. In addition, the lower accumulation during this quarter reflects both the government's commitment and Ecopetrol's effective management. And last, the payment of dividends to our shareholders, demonstrating our financial strength. Let's move to the next slide, please. In terms of corporate governance. I want to highlight the results of the General Shareholders' Meeting held in March. The Board of Directors are formed with members of extensive experience in key areas of the company, completing all the directors provided for in the statutes mostly independent. The new directors are already familiarizing themselves with the strategy and operation of the Ecopetrol Group have reiterated their commitment to continue generating competitive returns for our investors. Additionally, we published our Integrated Management Report and the Annual Corporate Governance report, which includes our main initiatives, goals and results in this area. The approved dividends was within the range of our internal policy, balancing returns to shareholders with the need to continue investing in our operations and strategy. On the environmental front, we continue to reduce our greenhouse gas emissions in Scope’s 1 and 2. Our water reuse capacity continues to grow and remains at levels comparable to the most demanding international standards. With these results, we reaffirm that Ecopetrol remains a solid company strategy for the country and prepared for future challenges. I now leave the floor to Rafael Guzman, who will present the results of the hydrocarbons business line.
Rafael Guzman: Thank you, Ricardo. As of 2025, we have a 17% progress in our exploration investments with four wells finished and two more wells in drilling operations, out of 10 planned for the year. Key highlights for this investment include operations in the GUA-OFF-0 block with the successful completion of the of the initial formation testing Sirius-2 ST2 well. This allowed us to confirm the reservoir conditions and identify a production potential higher than initially estimated. Additionally, as part of the development environmental licensing process for the Sirius discovery, we have successfully completed the required consultation process with the 116 communities certified by the National Authority for prior consultation. Furthermore, drilling began on the Buena Suerte-1 well. This well located 11 kilometers from the Sirius discovery aims to test the presence of gas in an exploration concept different from that of the aforementioned discovery. As for the onshore activity, oil presence was confirmed in the Zorzal Este-2 well drilled in 2023 by Geopark in partnership with Hocol in the [indiscernible] area. The well is currently undergoing full tests. Regarding the offshore assets in the South Caribbean, where Shell has been our operator partner in the COL-5 Purple Angel and Fuerte Sur blocks, we have been conducting a review since February 2025 to assess the best alternatives to continue executing the investments in light of a potential decision by the partner to divest its interest. These projects are a priority for Ecopetrol and have solid, technical and economic viability. The next steps in the development of these discoveries include a continuation with the conceptual basic and detailed engineering for connecting the gas to the national transportation system as well as efforts with the Ministry of Mines and Energy and the Energy and Gas Regulatory Commission to enable gas evacuation to the national system, along with any required adjustments to the tariff system. Ecopetrol has full capacity to ensure the continuity of operations. Let's move on to the next slide. During the first quarter of 2025, the final investment decision for Gato do Mato was approved. This development is part of our strategy to geographically diversify the hydrocarbon portfolio and increasing reserves. We expect partial reserves incorporation in 2025. This decision followed a reengineering process for the development and includes the installation of an FPSO designed to process up to 120,000 barrels of oil per day. It is the first development project in which Ecopetrol participates in the pre-salt area of the Santos Basin in Brazil. Gato do Mato has certified 112 million barrels of 2C contingent oil resources net to Ecopetrol before royalties. Production is expected to begin in 2029, reaching approximately 33,000 barrels of oil per day net to Ecopetrol. Let's move to the next slide. As shown in the top right graph, in the first quarter of 2025, Ecopetrol reached a production of 745,000 barrels of oil equivalent per day, mainly due to the contribution from the Acacias field following the increase in our participation in the CPO-9 block, the Akacias field due to the expansion of water processing facilities at the Centas facilities and better performance in the Permian. With these results, Ecopetrol achieved the highest crude oil production in Colombia in the last five years. This was possible despite the impact of external factors in Cano Sur, Kiva and Rubiales between March 31 and April 3, caused by blockades by indigenous guards as well as the impact on production from fields in the Northern Arauca due to Caño Limón- Coveñas and Bicentenario pipeline as a result of attacks to the infrastructure. Ecopetrol demonstrated its resilience by quickly recovering 100% of the production from Cano Sur and Rubiales fields. Regarding investment activity, during the first quarter of the year, $672 million were executed with 17% progress on segment's investment plan. A total of 94 workovers and 114 development wells were drilled. For the Cano Sur asset, the start-up of the pipeline and the expansion of the Centas station stand out. These milestones will allow operational continuity of the field with an increase in its production. Let's move to the next slide, please. In midstream, the volumes transported decreased by 2% compared to the first quarter of 2024, as shown in the first graph, primarily due to the scheduled maintenance of the Barrancabermeja refinery, which impacted both oil and refined product volumes. The midstream segment activated alternative logistics schemes to complement the necessary volumes and meet domestic production demand, maximizing the use of available infrastructure during such maintenances. This included the delivery of naphtha and diesel at the Pozos Colorados loading terminal and gasoline at the Ayacucho plant as well as the reception of Sebastopol and imports via Buenaventura of over 80,000 barrels of diesel and gasoline. Additionally, we successfully evacuated more than 3.7 million barrels from the Arauca fields through the Bicentenario pipeline, following the suspension of the of the Banadia-Ayacucho section of the Cano Limon Covenas pipeline. In line with what was mentioned on the previous slide, the new Cano Sur pipeline began operation this quarter, connecting the field to the ODL system, with a capacity of over 50,000 barrels per day, the evacuation of 100% of the current production from the field, providing operational reliability and reducing vulnerability to external risks. Lastly, I'd like to highlight the financial strength of the midstream segment, which continues to contribute to the stability of the group's financial results in times of volatility, with an 11% growth in EBITDA driven by both certain factors and improved operational performance. Let's move to the next slide. Important maintenance activities were carried out in our refineries during the quarter. In Barrancabermeja, scheduled maintenance took place in the [indiscernible] unit, diesel hydro-treater and the aromatic plant. Additionally, major maintenance work began at the UOPII cracking unit, and it's progressing as planned. In Cartagena, an unscheduled total shutdown occurred from February 14 to 20 with no impact on refined product supply in Colombia. Followed by the commencement of scheduled maintenance on the hydrocracking unit. The consolidated refining throughput for the first quarter of the year was 396,000 barrels per day, representing nearly 7% reduction compared to the same period in 2024 due to scheduled maintenances and the operational events mentioned earlier. The refining margin for the first quarter was $10.9 per barrel, which is $3.19 per barrel lower than the same period last year. 53% is associated with a reduction in international fuel price differentials, 30% with the scheduled maintenances and 14% with unplanned operational events including the shutdown of the Cartagena Refinery. Similarly, during the first quarter of the year, there was a 67% decrease in EBITDA compared to the quarter of 2024, with 40% of the impact related to exogenous factors such as falling prices, exchange rate fluctuations, and refi product theft. 43% of the reduction were due to the operational expenses arising from the maintenance plan, inventory management, and higher gas costs, 10% reduction due to unplanned operational event such as the previously mentioned shutdown of the Cartagena Refinery. Compared to the fourth quarter of 2024, there was an increase in both refining margin and EBITDA, driven by better product differentials. To address the challenges of 2025, we have made progress in the following value levers. At the Cartagena Refinery, significant profit has been made in recovering electrical reliability with seven of the 16 plant milestones achieved to-date. By June 2025, we expect to mitigate the risk from very high to mid. Regarding cost optimization, an 8% reduction in refining cash costs was cheap compared to fourth quarter 2024, primarily due to the reduction in unplanned maintenance, to maximize value products o keep projects are being developed. First, the expansion of the coking capacity of the Cartagena unit, which is underway and is expected to be operational in 2027. Second, various initiatives aimed at increasing productivity at the Barrancabermeja petrochemical plant are being advanced. Lastly, in the strategic projects aimed at diversifying and exploring new markets, I would like to highlight the approval by the Board of Directors of the Project Fuel Quality Baseline in Barrancabermeja and the project implementation of improvements to the U-107 naphtha hydrotreater in Cartagena. These projects are intended to improve the EBITDA of the downstream segment by generating higher value products and the improvement of gasoline quality. They also contribute to reducing fuel imports for the country and improving air quality in Colombia by 23rd. These projects are key to advancing the energy transition and the future incorporation of biofuels, such as sustainable aviation fuel -- SAF. Let's move to the next slide. In the first quarter of the year, we made progress on the efficiency plan, and we are above expectations, achieving COP 0.7 trillion from the upstream, midstream and downstream segments as well as from the corporate areas. These efficiencies higher than those of the first quarter of 2024 have allowed us to advance in cost control with reductions in lifting cost, transportation cost per barrel and refining costs compared to last quarter of 2024. Additionally, I would like to highlight that lifting costs reached levels lower than those of the first quarter of 2024, with a decrease $0.85 per barrel, driven by the achievement of efficiencies and higher production that more than offset the operational cost pressures of higher energy consumption and treatment of higher volumes of fluids as sales mature and the effect of higher dollar to peso exchange rate. In 2025, we continue with an asset profitability enhancement plan that will allow us to maintain lifting cost below $12 per barrel. Now I'll turn it over to David, who will discuss the main milestones of the energies for the transition business line.
David Riano: Thank you, Rafael. One of our strategic priorities is to move forward with projects that contribute to meet natural gas demand under current supply condition. In this context, we would like to share the progress on our regasification initiatives. On February 28, we signed a contract as a user of integrated regasification classification services on Colombia Pacific Coast with Pio SAS, a company responsible for building, operating and maintaining the facilities. Pio was selected after several negotiation rounds within a competitive process that included 18 companies. The project involves the use of floating storage unit anchored in the Buenaventura Bay and regasification facility located in Buga. This new infrastructure will enable the received, storage and regasification of LNG with an estimated capacity between 60 million to 100 million cubic feet per day and storage capacity of up to 138,000 cubic meters. Operations are expected to begin in the second quarter of 2026. Additionally, the commercialization process will begin in July 2025, starting at 60 Giga BTU per day for five years, supported by key regulatory developments that opened the door for new players in the regasification and commercialization of imported gas. Let's move on the next slide, please. At the same time, we are evaluating the feasibility of regasification project on the Caribbean Coast, leveraging the Ecopetrol Group's existing infrastructure in two fronts; by LNG using assets from the Guajira Association to deliver gas to the national transportation system from the [indiscernible] station through a floating storage and classification unit. Covenas LNG using Cenit's assets and a floating storage and regasification unit connected to the Covenas port. This option will require infrastructure conversion to ensure connectivity along the whole Covenas segment with estimated transportation capacity of 130 million cubic feet million cubic feet per day by 2027 and up to 400 million cubic feet per day by 2029. This project will enable the commercialization of up to 250 Giga BTU per day with expected deliveries in 2027. Both initiatives reflect a comprehensive supply strategy, using existing infrastructure to expand supply capacity, while ensuring greater flexibility to meet the country's demand. Next slide, please. Additionally, we are launching a new commercialization process for natural gas from our major fields, covering the period from December 2025 to November 2030. This cycle includes the sale of a 51 Giga BTU per day block over three years between 2027 and 2030 with volumes ranging from 9 to 41 Giga BTU per day. During the first quarter of 2025, the Ecopetrol Group supply about 68% of the national natural gas demand and 83% of nonthermal power demand, supported by a production of 158,000 barrels oil equivalent per day of gas and LPG, and EBITDA generation of COP 915 billion. Our energy efficiency program delivered 1.27 petajoules in the first quarter of the year, avoiding over 90,000 tonnes of CO2 equivalent emissions and generating nearly COP23 billion in savings. Since its launch in 2018, the program has accumulated 21.18 petajoules, representing a 71% progress towards our 2030 target. In the first quarter of 2025, the incorporation of non-conventional renewable energy sources allows savings over COP10 billion. In addition, we reached more than COP6 billion in wholesale energy purchases. Lastly, we are progressing on an inorganic growth portfolio that could add over 1,500 megawatts of installed capacity from non-conventional renewable energy sources between 2025 and 2028. This includes the signing of our framework investment agreement with ISA Colombia, which set the conditions for a potential 49% stake in the Jemeiwaa Ka\'I wind cluster located in La Guajira, subject to the fulfillment of precedent conditions. I will now pass the floor to Camilo, who will present the results of our transmission and road infrastructure line and the key financial milestones.
Camilo Barco: Thank you, David. During the first quarter of 2025, ISA continue delivering outstanding results and contributing to the diversification of the Ecopetrol Group. These achievements are due to the commissioning of new projects. The positive effect of contractual indexation, higher returns from road concessioners and an increase in revenues from the telecommunication business. ISA exhibited a comprehensive growth with an increase of 9% in revenues and 8% in EBITDA year-over-year. Its contribution within the Ecopetrol Group increased accounting for 13% of revenues and 18% of EBITDA, aligned with our long-term strategic diversification objective. Additionally, we highlight the dividend contribution from ISA to its majority shareholder, which for 2025 totaled COP 720 billion and its return on average equity of 16.8% for the first quarter of 2025. With the early achievement of key goals for the ISA 2030 strategy, the company is moving forward with its new 2040 strategy, energy that brings life to the transition. This strategy outlines a road map towards a future, more sustainable, innovative and committed with Latin America's development. I want to highlight also ISAs long-term ambitious goal for doubling its 2024 EBITDA. Additionally, it aims to increase its transmission capacity of 2024 by 1.5 times and develop 8 gigawatts of storage infrastructure and generate synergies with Ecopetrol as a provider of energy solutions. Regarding the awarded and operational projects, several important achievements stand out. In Brazil, reinforcements were added to the electrical grid. In Chile, the new 220 kilowatts Las Palmas Centella flow control system project was awarded to the Inter Chile. In the Road segment, the implementation of the free flow system on the Rutile Maipú was agreed upon facilitating traffic in the South access to Santiago. Additionally, the commissioning of the renovation of the Guatiguará and Tasajero substations in Santander, Colombia, six additional reinforcement in Brazil and the expansion of 21 project in Peru are noteworthy. Let's go to the next slide to detail the financial performance of our group. The financial results for the first quarter of 2025 reflect our attempts to consolidate structural efficiencies and protect the company's profitability and liquidity. As Ricardo and Rafael mentioned before, the declining Brent reference prices and major maintenances in the downstream segment to guarantee the production of quality fuels and preserve the integrity of our operations impacted our results. Net income stood at COP 3.1 trillion, EBITDA COP 13.3 trillion and EBITDA margin reached an outstanding 42%, proving our effective control and lower cost and expenses compared to the last quarter of 2024. The Transportation and Transmission segment contributed 42% to the EBITDA, effectively mitigating the impact of price volatility. The exploration and production segments contributed 54% to the EBITDA, while refining segment accounted for the remaining 4%. We invested $1.2 billion, exceeding the average amount for the first quarter of the past 5 years. I would like to emphasize that within the hydrocarbons line, our main efforts were directed towards the exploration and production segment in fields such as CPO-09, Caño Sur and Rubiales as well as in the Permian. These will follow by investments focused on ensuring operational continuity in the transportation and refining segment. Similarly, we made investments of approximately $136 million related to expand the gas chain and supply. Our leverage indicators remain steady. The gross debt-to-EBITDA ratio remained at 2.2 times on a consolidated basis and 1.6 times, excluding ISA. Let's move on the next slide. We keep addressing and monitoring our cash levels, both stand-alone and on a consolidated basis with a proactive approach that has enabled us to optimize cash flow, ensure the availability of resources for key investments and minimize financial risks. The Ecopetrol Group's cash balance closed at COP 17 trillion, generating a positive free cash flow of COP 1.4 trillion. Of the total cash, 42% was contributed by ISA, 27% by Ecopetrol and the remaining 31% by the group's other subsidiaries. Additionally, our cash management during the quarter included the following transactions. As of March, we carried out a repo for approximately $500 million, backed by public debt securities called TES [ph] receiving in 2024 Ecopetrol as part of the Fuel Prices Stabilization Fund payment generating a temporary increase in short-term gross debt. Depending on the market conditions, the unwind of this repo will be reviewed. The Ministry of Finance authorized an international loan facility of up to $500 million with Banco Santander. The proceeds from this transaction will be used to meet our operational cash requirements, thus compensating the outflows caused by recent inorganic acquisitions. This aligns with our financing plan and maintains the growth debt-to-EBITDA target for the year. A favorable milestone was the early collection of the total balance of the fuel price stabilization fund FEPC for 2024. At the end of March, the receivable of the first quarter of 2024 for around COP 2.2 trillion was paid through a short-term public debt securities called TES which were used to guarantee a repo transaction. In addition, at the end of April, we received COP 5.4 trillion in short-term call TES for the balance of the second, third and fourth quarters of 2024. These were already sold providing the necessary liquidity to complete the total dividend payment to our shareholders in the first half of this year. Through our financial hedging policy, we executed hedging programs to mitigate the price volatility on diesel for 3.2 million barrels and exchange rate for $615 million. Likewise, we continue to analyze other hedging strategies for Brent price for the second half of 2025 and 2026. These measures have strategically positioned us to address recent market dynamics and the increased fiscal obligations resulting from the interior commotion decree due to the Catatumbo crisis. We anticipate this will result in disbursement for the group of approximately COP 1.2 trillion this year. In addition to the impact of the value-added tax on fuel imports starting January 1, 2025, which will be detailed in the next slide. In December 2024, the National Tax Authority DIAN issued a ruling interpreting that value-added tax on fuel inputs must be paid at a rate of 19% on the customs value of the imported goods. This ruling has prospective effects starting on January 1, 2025. Since January, Ecopetrol has paid such value-added tax in accordance with DIAN's riling. Estimates show that in 2025, this payment will reach approximately COP 3.6 trillion, recoverable at 93% through tax refund request. Regarding the period 2022 to 2024, Ecopetrol and the Cartagena refinery received 3 requests from DIAN, including a proposal of tax penalty and interest, totaling COP 9.4 trillion related to the VAT payment on the declarations submitted during that period. Due to the differing interpretations of regulations and protecting the company's interest, Ecopetrol and the Cartagena refinery will respond to the special custom request and challenge them through administrative and judicial channels using the resources and actions provided by the law. Ecopetrol and the Cartagena refinery are committed to fully complying with their customs and tax obligations and will respect the administrative and judicial decision, that resolve this dispute. Finally, market and company scenarios indicate that Brent prices for 2025 may fall below our financial projections. Therefore, we've implemented measures to enhance our ability to address these industry challenges, ensuring we achieve our operational and financial targets for this year. I now hand over to the President, who will detail the adopted plan to navigate the current environment of price volatility.
Rafael Guzman: Thank you, Camilo. To close this evening's call, I would like to share key messages about the actions we have been implementing in response to the high uncertainty environment we are currently navigating. It's important to emphasize that Ecopetrol is a diversified group with core business in hydrocarbon transportation and energy transmission which has proven to be essential during times of volatility and now contributed over 40% of our EBITDA. On top of that, we have a competitive commercial strategy that has allowed us to maintain single-digit different sales maximizing the value of our products. This is not the first period of a strong volatility we have faced as a company, and we have both the experience and preparation need to respond effectively. Our investment plan is built around a price range that allows us to adapt to different market scenarios while maintaining capital discipline to ensure competitive returns. Based on these fundamentals, we have implemented concrete measures to strengthen the group's position. For transportation, we have implemented an additional robust program of efficiencies and cost and expenses savings amounting by approximately COP 1 trillion, along with a strong working capital management of around COP 2 trillion combined with the early PEC payments and available credit lines, this reinforces our liquidity. In terms of capital discipline, we are focused on efficient production decisions, portfolio rotation strategies and differentiated crude marketing. Considering our integration across the value chain, 99% of our production operates at an EBITDA breakeven, below $55 per barrel providing a natural hedge against price fluctuations. Additionally, our plans include flexibility in terms of CapEx intervention of $500 million aiming to protect our production for the year. For resilience and financial flexibility, we maintain a controlled debt level, declining production costs and are generating synergies between segments subsidiaries that that continue to strengthen our competitiveness. It is worth mentioning the current situation, we update our lifting cost target aiming to level below $12 per barrel. We continuously monitor the market conditions and have well-defined protocols in place to adjust commercial actions, optimize cost to renegotiate contracts, manage debt and activate financial hedge were never necessary. These pillars allow us to look ahead with confidence. We have clear protocols to respond to any further deterioration in market conditions and are ready to activate additional levers if required. Ecopetrol is well prepared to continue generating sustainable value for our shareholders and for the country, even in the face of global volatility. With that, we now open the floor for questions.
Operator: Thank you. Let's begin now the question-and-answer session. [Operator Instructions] The next question is from Katherine Ortiz from Corredores Davivienda.
Katherine Ortiz: Good morning everyone. Can you hear me?
Operator: Katherine, good morning. We can hear you. Loud and clear.
Katherine Ortiz: Thank you for your presentation. Let me summarize my three questions. One is related to the last topic that you mentioned, Ricardo, related to the effect that the fall of oil prices can have and how Ecopetrol has been preparing. So, I have several questions with that. First, could you please confirm figures that you mentioned in other settings related to the impact of fall of the price of oil? On the EBITDA and the revenue per dollar of the drop of the price of oil, you said that it's COP 0.75 billion per dollar. Please confirm -- that figure. And, with your last slide, I have a question, because the breakeven then you mentioned 99 % with production EBITDA of $54, I'd like to compare it also with the breakeven of your revenue, because in the figures that you showed at the end of the year, the breakeven of EBITDA at the end of the year was $40 overall. But, the revenue was $49, and that's because of the context of the very high taxes that we have in Colombia. So I'd like to know that figure of 99 % of production and revenue to understand better the impact that we can see on production, because of this effect. And, also, although it's true, especially the premium, we know that the breakeven that zone is at $50 now, but, when you look at the WTI its below-60. So, could you please tell us if, in the production segment in the U.S., there is a contingency related to the effect that this could have with the fall of the oil price? That's my first question. Do you want to hear the other two? Or do you want to answer this first one? Maybe my first question was quite extensive.
Rafael Guzman: Thank you. Let's begin by answering your first question. And then we can cover the other two. Our CEO would like to talk about the effect that you're asking regarding the decrease of each dollar with the Brent barrel. Then I can complement.
Ricardo Roa: Good morning for everyone. Katherine, good morning and thank you, for your questions, I am Ricardo Roa, the CEO of Ecopetrol. Yes, I'd like to confirm -- your figures and the exercises made so far. Remember, we have a price of reference of Brent in our plan, in investments and in operations. Based on this, we have evaluated. And, for every dollar that the Brent changes in the market, we will have impacts on the revenue and the EBITDA and the net profit. The impact of each dollar that changes upwards or downwards with the price of Brent in the market and EBITDA is COP 0.74 billion a year. On the net profit COP 0.37 billion, and counteracting those effects, we would need, in terms of the exchange rate, COP 200 more per dollar. So, the effect can counteract the impact of the fall of the Brent price. We have been monitoring constantly the conditions, particular conditions of price of the oil in the market, Brent and WTI, which is of the state. So on those aspects, we've also been monitoring our operations, profits and what we've seen, we've announced that as of today and under the current conditions, we don't have to make decisions on the interruption of the production of several of our wells. But there may be decisions ahead, especially with the wells underway. And there we will have to be making evaluations and making decisions. So now let's give the floor to Rafael.
Rafael Guzman: Thank you, Ricardo and Katherine, for your question. I'd like to refer briefly to the Permian. The current Permian is showing good performance now. Remember, we're talking about the year of having a production from 90 to 95. We have completed 35 new wells to date with a plan close to 90 that we have with the Permian. In terms of the breakeven, the production of the Permian is below $50 of WTI. We do have, with our partner some strategies to suspend the investment in new wells, if for a long period of months, we see low prices of WTI. One of the advantages with this is that these suspensions can be made quickly and they can be also reactivated quickly, and that gives us high flexibility. To date, we haven't had discussions with our partner for the suspension, and we continue with our plans. Anyways, most of the production that we expect for the year is with the wells that are already underway, not with the production that comes from new wells. So for now and the flexibility of CapEx that we have, we don't see the need of cutting back on CapEx or production.
Camilo Barco: Rafael, thank you. And if you allow me Katherine, Camilo Barco speaking. I'd like to complement the answers given by our CEO and Rafael. And I'd like to highlight the breakevens. Typically, this is an indicator that is displayed in companies of E&P, pure E&P and they're related to the production costs. As Rafael said, it's very important to keep in mind that at Ecopetrol, more than 99% of our wells are capable of operated with breakevens below $55. But we cannot lose sight that today, Ecopetrol, as we emphasized in our presentation, this is a group that has different energy. So it not only has upstreams, but other segments in hydrocarbon streams and downstreams, but it also today incorporates lines, the business lines of energy transmission and roads and energies for transition. So looking at these indicators by the group, perhaps you can find there some of the answers to the differences with the breakevens announced. But sure, we can confirm to you, Katherine that after making the analysis and the effects compensated by different segments, the breakeven of the profit of the group is close to $50 per barrel, while the breakeven of EBITDA is closer to $44 per barrel.
Katherine Ortiz: Perfect. Thank you so much. Great answers. So let me continue with my second question that relates to the requirement made by DIAN. Recently, you showed us the steps that you will be taking with that. And among those steps before the reconsideration you have closing the case. I wonder if right then or when specifically, Ecopetrol should make a reserve for of those COP9.4 billion if the DIAN or the tax authority does not reconsider and its firm with its ruling. So should Ecopetrol right then make that payment. And in time, how long do you estimate making this close? Will it be in three months, six months, a year? Just to have an idea in that sense. That question, and I would also like to understand ahead with that new interpretation, will Ecopetrol have to keep spending every year about COP3.6 billion, the ones that you mentioned. I'd like to confirm this. So independent of what the DIAN rules in the past, it will -- Ecopetrol in the future have to be paying those COP3.6 billion. And if so, this year, you mentioned that in a report that this is compensated with balances that will be recovered. But ahead, is it normal to have these types of balance to be recovered? Or is this just a one-time payment, not for 2025 but afterwards -- after this figure, will it go to COP4 million additional. That's my second question, gentlemen?
Camilo Barco: Okay, Katherine. Again, thank you. This is Camilo Barco. And this question with the scope that you're giving us will allow us to clarify several things to everybody that's joining us in this call today and that are really wondering about this. So let me expand going back to what you've asked. Indeed, in December 2024, on December 20, the DIAN issued an opinion in which there's a change of a doctrine to consider that as of the 1 of January, 2025 fuels are subject -- imported fuels are subject to of 19% VAT. This opinion has effects on two perspectives. One ahead, like you mentioned in your question and the other back, and it relates to the procedure that we will have to follow from here on. Regarding the procedures ahead as of January, and following this guideline, Ecopetrol has been meeting its responsibility and its tax obligation following what the DIAN has required and has been paying the VAT for importing fuels, gasoline and diesel mainly with 90%. Also, you mentioned another figure and indicates an effort of Ecopetrol of COP 3.6 billion in the year 2025. Of these COP3.6 billion, the expectation is that we can recover about 93% of that sum, meaning COP3.3 billion through the recoveries and crisis balances in favor of tax returns from previous years. Going ahead, it's possible that the balance of taxes in favor of Ecopetrol will not only persist but will increase. Why? Because this tariff of 19% means that we have to pay that percentage over the imports. While the formula of the prices of fuels in Colombia allow us only to recover 5%. So that difference between 5% and 19%, meaning 14% necessarily will increase the balance of taxes paid in the future. So surely ahead, we will have to make an effort that can be crossed in real time with the balances of the tax returns or taxes in our favor. Now again, let me refer to the second perspective, and it's the impact on previous periods, specifically 2022, 2024, which are the statements which are not infirm. So on that claim, first calculation has been made. We've received special requirements, customs in Reficar and Ecopetrol, which add up today to COP9.4 billion. Within that sum, COP7 billion are the taxes that we haven't paid, COP 1.6 billion of Ecopetrol, COP 1 billion of Repicar and the other COP 2.4 billion have to do with interest transactions.
.: And this official liquidation is an administrative act. And as such, it's settable to all legal actions foreseen in the law. So once we have this ruling from the DIAN, we will determine what path we shall continue, which can include the reconsideration that we're asking for, along with legal actions as if required, we can have the reposition resources presented, and we can even go directly to present a demand before the State Council. So this is digital process that can take time from two to five years before anything goes through. And let me talk about the importance of the reserves. When it comes to reserves and payments, they will, of course, depend on how the process develops and the need of the final ruling. And the payment has to be given by the state council if necessary. Our consideration today, it's worth saying, and based on the opinions given by attorneys, the possibility that we will be given a green light with this is high. Why? Because the eventual provision will be with the requirement of the external auditor and that provision or reserve will depend on the development of the process, and the possibility of success of defending the arguments by Ecopetrol. So to end, we're in a very preliminary stage, preliminary stage. We only received the requirement to pay, especially 2022 and 2024. And first, we have to go through the administrative path and the legal path. So we hope that the effects on accounting and responded several of your questions related to the payment of that VAT.
Operator: Thank you. We also have Daniel Guardiola from BTG.
Daniel Guardiola: Hell, good morning, Ricardo Camilo, Rafael, I have two brief questions. So my other colleagues have time to ask questions. First, what's the sensibility for the production of Ecopetrol keeping in mind if the company executes a CapEx reduction of $500 million that you have with your austerity plan? And second question, Camilo, could you please share with us what's the Brent cash breakeven of the Upstream business considering, of course, the CapEx that you expect to assign to this business this year. These are my 2 questions. Thank you.
Rafael Guzman: Daniel, good morning, this is Rafael Guzman, and thank you for your question. As Camilo said, 99% of the production has a breakeven of $55 per barrel. Now in terms of investment, we -- in the -- with the flexibility of CapEx we've announced, we will give priority to the CapEx, especially for those investments that create new production. And so far, we haven't seen having to cut back on our CapEx per production. We'd also like to give an example related to the prior question with the Permian, which we expect will be 90,000 to 95,000 barrels a day. And with those new wells that we have, it's close to 8% -8%, 9% of the production. And we also mentioned that we have drilled wells this year. So this example also illustrates our effort to maintain capital in the projects that remain in production.
Camilo Barco: Okay, Daniel. And with regards to the financial question, I think it was covered by Rafael when we discussed the break even. Maybe it's important to mention that the expectations of the investments plan related with CapEx, we announced to the market an investment plan that was approved at the end of 2024 and for this 2025 from $6 billion to $6.8 billion. Of this $6.8 billion, there's a chance or the flexibility better of $500 million. And over that, perhaps we should emphasize that we will give priorities to investments that protect production and reserves firstly. And secondly, we will give priority to those investments on projects that can contribute the internal generation right way meaning project preferably. In operation stages, brownfield projects that have positive EBITDA and increase the generation, the internal generation of the company. And depending of this CapEx level, if possible, to stay in this range without ruling out the chance, depending on the performance the prices, we will have even a more drastic plan of that CapEx depends the final EBITDA that we'll have. But as Rafael said, the breakeven of EBITDA is below $55 a barrel.
Daniel Guardiola: Thank you, Rafael and Camilo. Have a good day.
Operator: Thank you. The next questions will be in English. [Operator Instructions] UBS has a question, Mr. Vasconcellos ask your question.
Tasso Vasconcellos: Hi, everyone. Thanks for taking my question. Two follow-ups here on this breakeven discussion. The first one, at what point would Ecopetrol start reviewing its strategy. We just discussed it quite a lot about the $55 Brent breakeven. But for how long would it need to remain below such levels for Ecopetrol to change the strategy? I assume, of course, would not be like a week or a month. But I think the question is exactly how is the company's evaluation process to change the strategy or the approach here? A second question, actually a follow-up on this first one. Where do you view all the opportunities to reduce CapEx and costs in case Brent remains lower for longer. Is the $500 million in upstream business that you just mentioned on the slides the full potential? Or there could be other opportunities? And which business would you prioritize the most and which other business you also see potential to reduce CapEx or expenses if required. Those are the two questions. Thank you.
Camilo Barco: Okay. Tasso, thank you for your questions. Let's refer again. This is Camilo Barco, the CFO. I'd like to begin by quickly referring to the ranges of reviewing the strategy, as you've mentioned. And especially, I'll talk about the eventual revision of the financial plan for 2025 and the three years -- three subsequent years. The most important thing, I'd like to highlight here is that we constantly monitor the performance of the market. And there is a range determined from $60 to $65 of a barrel Brent, which leads us to take measures like the ones we've announced. These ranges, it's important to mention are not specific ranges. It's not that the price of Brent and some determined days will touch this level. Instead, we're talking about average ranges for the year, the full year based on this first quarter and the forecast that we have for the rest of the year. So while we reached the average ranges for the full year closer to $60 in addition to the measures we've mentioned, there could be a chance or we can evaluate the chance of resanctioning or changing budget of 2025. When we see that the deviations are material enough to not meet the goals established for this year. So again, beyond the discussion of the breakeven, when it comes to the planning and budget policy of company, the range of $60 per barrel average of Brent for next year gives us the chance of evaluating the re-sanction of financial plan for 2025. And now let's give the floor on the opportunities of investment that you mentioned.
Rafael Guzman: No. This is Rafael Guzman again. This $500 million that we mentioned of CapEx, it's not only for the upstream business, it also impacts the mid and downstream and the other Ecopetrol businesses even in corporate. And I'd like to mention also something about that that 1% of production has a breakeven above 55%. We've talked about the 99% a lot. But let's talk about that 1% because there we have important actions. Part of the new role that we have in efficiencies which is another COP 1 billion is for higher efficiencies included in these fields more breakeven also in these fields. We have investment commitments for our partners, not Ecopetrol, but made by the partner, which will increase the production of these fields. And therefore, will decrease the breakeven. And we're not only looking at fields entirely, but also the production specific of wells and certain facilities to maintain our production levels throughout the year, including [Technical Difficulty] Related to your second question, let me say that, of course, an eventual resumption of the plan would lead us to review the CapEx. In every business line, this revision would be cross-sectional. Today, what we propose with the Brent expectations we have is $500 million of flexibility to help us to be in the lower range of the financial plan proposed. But while there is a persistent reduction of the prices, we can take more drastic measures, again, to protect the production and reserves. But when more necessary, we can intervene. When it comes to the profitability and the breakeven of different wells. So that's why we have a detailed analysis per asset, and we [Technical Difficulty] Titles or any tiles short-term should be down-- those are the questions. Thank you.
Rafael Guzman: Good morning Eduardo. This is Rafael Guzman. In the first quarter, we had a cost below $12. It's specifically $11.25. That's we're announcing that we will keep it below $12 for the entire year. Most of this also comes with the increase of the efficiency goal of COP1 billion. So the mechanism to reduce maintenance of subsoil, increasing the period in which you have to change the subsoil equipment. Second, efficiencies and energy, which we have been achieving using less energy and having lower rates of energy, thanks to the commercial management made. When it comes to -- we have really different engines that we're placing in the pumps of the subsoil in the wells. We also have renegotiations of maintenance contract, reusing materials [Technical Difficulty] to make the maintenance at the facilities on the surface. And this is also, as we saw in the first quarter, goes hand-in-hand with a higher exchange rate of the pesos, which helps us a lot significantly in these the lifting costs. Yes-- now when it comes to your question, Eduardo, when it comes to the form of payment of the [Technical Difficulty] form of payment of the treasury bond. Through the treasury bond -- It's saying that the budget of the nation allows the government to make the payments through but through debt but through pricing dividends or direct payments. So really the Ministry of Treasury of the nation determines how payments the payment is made [Technical Difficulty] as part of the first, the nation recently the end of April paid to Ecopetrol fully the obligations of in 2024, meaning we received the first payment of COP 2.2 billion and a second payment of 5.4 billion, reaching COP 7.6 billion of the [Technical Difficulty] 2024. These were paid and fully received by Ecopetrol. With regards to the market through banking -- with the remaining payment of COP 2.2 billion, some of these titles are part of the simultaneous transaction made and are used as collateral for the liquidity credits obtained [Technical Difficulty] for this year 2025, given the circumstances of prices, our expectation is that the causation of FX will drop substantially. Although last year, we had COP 7.6 billion, our projections with current prices is that this year will cost BRL 3 billion to BRL 4 billion approximately in favor of Ecopetrol closer [Technical Difficulty] we'll have to wait what option of payment is determined. [Technical Difficulty]
Tasso Vasconcellos: Liquid instruments, right, as you just explained. I just want to confirm my understanding that you kind of liquidated those already and having cash in hand, right, where you can not only on the upstream segment, but also on the downstream and so on. But I would like to get a sense on what is the impact of production, assuming you would or you would cut investments on the upstream division. Thank you.
Camilo Barco : Good day. Thank you for your question. This is Camilo Barco to answer your question about CapEx and to confirm that indeed the payment of PEC received COP 5.4 billion was liquidated already, the titles were placed in the market. And today, it's part of our cash flow and the liquidity of the Ecopetrol Group. And with regard to your second question, I can anticipate that there is no impact on production. But let's listen to Rafael complement this.
Rafael Guzman: Yes, you are right, Camilo. This is -- I'm Rafael Guzman, when it comes to the 500,000 that we have in CapEx, we still have the same production goal. Keep that in mind.
Operator: [Foreign Language] Next question is from Ricardo Carrera from Bancolombia. The floor is yours.
Ricardo Carrera: Good morning everyone. Thank you for your time. I have several questions, one, Camilo, the topic of the DIAN. I'd like to see what's the net effect on the cash flow that -- this has on the company this first year meaning there is working capital of 3.6 and it reverts to 3.3. And how can we see this as a net effect on the cash flow. Will we have an effect on working capital of COP 1 billion? I'd like to see those net effects to understand it more. Second question on fund of the stabilization of oil prices. In the last presentation, Ricardo, you said that a method to protect the cash flow, you would have 2 billion for working capital. However, there is a requirement of the [indiscernible] paying Ecopetrol, [indiscernible] so where are these 2 working capital -- COP 2 billion working capital coming from? And third, I'd like to thank, if you could give us more information of that leverage of six times because with the debt ratings, we see that the rating firms have decreased the stand alone rating of Ecopetrol and 2.2 is a very high debt relation. So what about -- how would you talk with the rating firms ahead to see that it has a higher leverage level compared to other oil companies. So if you could clarify this for me regarding the conversation you have with rating firms and how to push that 6 times that you're talking about?
Camilo Barco: Ricardo. Thank you. This is Camilo Barco, again. With regard to your first question related to the DIAN, the tax authority you have summarized it perfectly. This year, indeed, the payment of the tax from January to December means an effort made by us of 3.6 billion, although we have balances in favor of us of the VAT close to 5 billion today. And it's possible to cross these in the next months, practically in the next 60 days, we've been able to cross the taxes in charge of that. By the end of 2025, as you said, of those 3.6 billion, we expect to recover 3.3 billion, which would imply a total effort of Ecopetrol in the cash of COP 500 million. And ahead, if this keeps some happening, and we know this will happen given the difference of rates to pay the VAT versus the difference of rate to collect the VAT, it sure that we will have balances of taxes in our favor significant ones. So in the next 60 days, we will have to pay the VAT with balance of taxes in our favor. So that covers your first question. Your second question is related to managing working capital in the 2 billion that our CEO referred to, fundamentally has to do with part of our contingency plan under the protection of our cash flow and ensuring our liquidity. And this fundamentally has to do with central -- an efficient centralization of the of the groups, has to do with paying the dividends of the affiliates several payments of Ecopetrol to its subsidiaries, capitalizations of subsidiaries, which are deferred in time and will be more adjusted to the timetables required in our investment plans. And really, the management of inventories of accounts payable and receivable are measures guided to increase the efficiency of the [Technical Difficulty] of the working capital. Our expectation is that here, we can increase it by $2 billion that total this year the amount of the cash available. And now your third question related to the debt, your question is very pertinent. And one of our main working goals is that today, yes, the rating firms are still applying a criteria, which, in our opinion, every time seems to be less technical because indeed, as a group, we incorporate ISA, which is a group that contributes the most proportion or the most of the debt. And since ISA is regulated, it can leverage those investments four times its EBITDA. And today, this implies a reading that's not precise when it comes to the indicator of debt to EBITDA of the Ecopetrol Group. And as you said, within the indicator of the industry, 2.2 times looks high, yes. But when you exclude the part, of debt of ISA -- to a lower range of debt. This is an ongoing conversation that we have with the rating firms. And what they've said is that while the contribution of companies like ISA and Cenit, which is about 42% of the EBITDA. Surely, this discussion can be given more and more. Our expectation is to adjust the methodology used by the rating firms. So they keep in mind these factors and allow us to have a depth space of a group that has energy with oil.
Ricardo Carrera: Thank you so much.
Operator: Today, we have Andrés Cardona from Citibank. Mr. Cardona, you can ask.
Andrés Cardona: Good morning, everyone. I have three questions. First, recently, we saw in the company making several acquisitions in the [indiscernible] segment, renewables that can possibly close and other assets,I understand to be sold. So tell us about the appetite for more inorganic growth with an oil price at $60, which -- and you've got a barrel of $73 per barrel also with the effect of liability and DIAN? First question. Second question, could you clarify how many barrels are consolidated in Acacias in the first quarter, because of the higher participation? And third, the media is saying that Shell could potentially leave the offshore project. Are you capable to face the development of this project alone? And what permits, environmental permits are pending, so that the project can move to a next stage and how feasible is it to have those permits, because of the recent -- and the Ministry of the environment, et cetera? So these are my three questions. Thank you for taking them.
Julián Lemos: Andrés, thank you for your question. This is Julián Lemos. I'm the Corporate President of Strategy. Firstly, as Ecopetrol, we have an investment plan built as you've said with a Brent of $73, yes. And all the inorganic investments we've evaluated and we've constantly evaluated have to meet working discipline criteria. There is no doubt, right now, we review those opportunities that we're seeing. But we are also convinced that, just as we have hydrocarbons and other projects. And renewable energies we have to review them and find a way to make progress, because they contribute to the financial sustainability of the Group. And, of course, we cannot just leave them suddenly. Surely, the setting will make us be more, strict with our criteria, and we're creative with the mechanisms that we can have to carry out these transactions. I mean, cash generation, structuring, debt, or the rotation of our portfolio. For the next two questions, let's hear Rafael Guzman.
Rafael Guzman: Andres, good morning, Rafael Guzman is speaking. For your question on Akacias, yes, comparing the last quarter of last year with the first quarter of this year, we had an increase of 16,000 barrels of crude oil national of Ecopetrol Group. Of these, 10,600 correspond to 45%, which was the acquisition we made of Repsol. Let me highlight in this field of Akacias, since we have 100% of the synergies between this field and the [indiscernible], we have 200,000 barrels in addition. So it's not only a result, but it's because of the synergies. And the increase of crude oil in Colombia comes from Caño Sur. The next question regarding the development and the discoveries of KGG in the Caribbean, yes, Shell will cede its participation to Ecopetrol. And, firstly, yes, we are capable of assuming the operation on our own. The development has more to do with the engineering, with the National Transportation System, and with procedures with the Ministry of Mines and the CREG, to make this connection, mainly. As far as the environmental permits, let's hear Elsa Jeanneth [ph], who can talk about this.
A – Unidentified Company Representative: Thank you, Rafael. Good morning. Andreas, with regards to the environmental permits pending, right now we are underway with the exploration permit and also the Environmental and to connect the cast offshore with the National Transportation System. Within this big process, which is the study of the environmental license, the first part has to do with the prior -- giving disclosures to the communities that are nearby. So right now we're designing the connection that duct -- the oil duct, the pipeline and managing with the A&CP, the certification of the communities that will be impacted to proceed with the prior consultation. Once we have agreements with the communities, we will present the request of the environmental permits. And if it's feasible to have them, yes, it is. And we've been working with on this.
Andrés Cardona: Thank you. Let me -- could you please precise -- is there an appetite for new operations. I know you have several underway. But ahead, does Ecopetrol have an appetite for new opportunities of growth inorganic, given the prices of oil, which are much lower and the risk of the DIAN Dan liability.
Unidentified Company Representative: Andres, as I mentioned, the appetite is there, yes. We have strategic goals to incorporate reserves inorganic and megawatts and constantly seeking opportunities of diversification to enhance our portfolio. And again, we want -- we want to do is to be much more strict with the criteria. We have -- we use, and we have to be very creative. So again, we will -- we are evaluating options. We are aware of the moment now, but we're also aware of the needs and the strategic goals of organization and how the M&A is very important to that.
Camilo Barco: Let me complement, Andres, related to the eventual contingency of the DIAN, it's important to say that the future perspective of paying VAT doesn't really have a big impact on our cash flow. And remember, it was COP 300,000 million in 2025. But when it comes to the controversy rising from interpretation of the opinion given by DIAN, the effects that could take place eventually, again, will be seeing on a long-term basis once the rulings are made and the judicial process takes place. So we will be taking the actions and using the resources foreseen in the law, and this will take no less than two years.
Andrés Cardona: Thank you.
Camilo Barco: Thank you.
Operator: Next question from Santiago Torres from Corredores Davivienda. Mr. Torres.
Santiago Torres: Good morning. Thank you for receiving my questions. I have one with what you mentioned that on February 28, Ecopetrol entered a contract for re-gasification. Could you please give us more details about that contract beyond its capability, how much will cost -- will be the cost -- annual cost for Ecopetrol. And for how long will you have the service contracted?
David Riano: This is David Riano, the Executive VP of Energy for Transition. Thank you, Santio [ph] for your question. As we've announced before, this is a contract in which Ecopetrol acquired services of regasification. And this decision was taken keeping in mind all of our working capital requirements. When it comes to this particular case, first, it's to acquire the regasification rights, which has been announced later. And as we've said also in several sectorial settings, we will proceed to acquire the molecule, the LNG that will be placed at the facilities of regasification and long-term contracts under the best price conditions. And domestically, that amount of gas will be sold. That way, the group expects to generate value obviously, through this transaction, specifically on the duration. This contract has a commitment for five years, counted as the moment when the facility is commissioned. The detail of the price of the regasification is confidential, however. But our CEO recently said that this year, we will begin the commercialization process publicly, so everybody can participate.
Operator: Here, we have Alejandra Andrade from JPMorgan.
Alejandra Andrade: Hello. Thank you for taking my question. I'd like to understand on the potential of acquiring new debt, you said for MA, and also the possibility of going to traditional markets that current cost is much more expensive at different. And I understand that you will be more cautious with MAs, but I’d like to understand if there is chance of going out to international markets to issue debt? Or do you want to remain more cautions or if there's -- if it's off the table to go outside?
Camilo Barco: Thank you, Alejandra. This is Camilo Barco, the CFO. With regards to the additional debt, I'd like to remind you that our investment plan organic does not have an increased debt. In the inorganic component, we have confirmed even under the circumstances that every opportunity of an inorganic investment is being evaluated very, very closely and with the caution that you have mentioned. This means that we prioritize the investments, which today have the capability to contribute and generate enough to leverage the investment itself, meaning projects that are under operation and have an EBITDA that's enough to serve the debt. We work in each of these opportunities, looking at the finance, looking at the evaluation of everything. On this, it's also worth mentioning that this year, we have formalized transactions, closed transactions, which are financed also, we referred in the presentation to the financing of $500 million, which fundamentally is part of the cash of the group but we'll cover part of the investment made in the CPO-09 asset. And in the future, what we foresee is that we will try to see financing options that are structured more in banks. We monitor constantly the market only if there are conditions and levels of rates that will allow us to go out to the market this year, we will be evaluating those possibilities. But right now, we don't see them. And really, we're focused if we have to finance inorganic opportunities, this will be structured by finance specific operations mainly using banking -- bank related financing. Thank you.
Operator: Next question from Andrés Duarte from Corficolombiana. Andrés, the floor is yours.
Andrés Duarte: Good morning, everyone. And thank you for taking my questions. And for your presentations. I have three follow-up questions. First, since Ricardo Roa, the CEO, just remembered, the sensibility not only comes from the prices, but also from the devaluation. I would like to know, what exchange rate are you assuming for the breakeven of $55 per barrel. Second question, please explain again in case you did, I didn't understand it well. The component of the 2.2 billion used as collateral related to what you talked about the FEPC. Please explain it what that consists of. I didn't understand it. And third and last has to do with M&As, but more focused not on oil and gas. Could you specifically refer to Monómeros, electrical generators, Ironexa? And I'm asking because IRSA yesterday said that it had discussions with that company and Monómeros, I don't know if that was an initiative of the company itself, I guess not. But -- could you please refer to possible acquisitions like those. Thank you.
Camilo Barco: Okay. Andrés, thank you for your questions. This is Camilo Barco again. And let me answer two of your three questions, mainly. The exchange rate used that we -- in our investment plan is COP 4,150 a dollar. And the sensibility over the variabilities indeed is made using this rate, this exchange rate. As far as your second question, we're talking about simultaneous operations. And in other words, these are operations of short-term financing with a collateral in this case, short-term tests and long-term that we have in position to guarantee the payment of the short-term operation, meaning this is a credit line from treasury guaranteed with collateral for which we give the short-term tests. So there, we can still identify the position. We're talking about the payments of FPEC, the COP2.2 billion first billion pesos that we received in March to pay the first FPEC payment is used as a collateral for the test credit with the drop of the exchange rates with -- of our Central Bank. Surely, this transaction will be liquidated -- will be made liquid, like we did with the other test titled. So again, this has been placed in the market. These were liquidated or sold through the brokers bank -- of the banks. So these are the two questions that I have addressed for you.
Julián Lemos: Thank you, Camilo. Andrés, this is Julián Lemos, the Corporate VP of new strategies of businesses. So let me talk about three aspects for you. First, M&A is a confidential nature for us. But let me talk with you with what I can address firstly. Ecopetrol has not announced that it will buy electrical companies. There are two potential businesses for remote self-generation to cover the needs of electrical need of Ecopetrol itself. So with that, we will continue with two projects that are subject to the precedent conditions to carry them out. And just as we have strategic goals to incorporate reserves, we also have strategic goals to incorporate megawatts that are renewable for our own consumption. With regards to other topics, I'd say that at Ecopetrol constantly evaluates options throughout the oil chain, including petrochemicals and fertilizers. Throughout the analysis made recurrently regularly, we monitor the opportunities out there and the opportunities that are not out there. And I'm not talking about one company specifically here, but I'd like to underscore that our company and our process really does evaluate the options to diversify and capture value throughout the entire chain. With Internexa, you mentioned what ISA said yesterday. Let me tell you what President Roa, perhaps in the last call mentioned. The conversation is out there, yes. It's covered by confidentiality, however. And when we have a potential agreement with ISA, we will report it to the market. We can't announce anything now.
Andrés Duarte: Thank you. Thank you so much for your answers.
Operator: Next question comes from [Technical Difficulty]
Unidentified Analyst: I have three questions. I think they're quite brief. Let me begin with one that's a follow-up of what Andreas asked, and it's -- we've heard comments in the market of a potential purchase of [indiscernible]. Do you have any comments about that?
Julián Lemos: Thank you, Stephanie. This is Julián Lemos, the Corporate VP -- in the contract with [ Enel, the authorization of the integration by the SIKA has been made. And when we reach the precedent conditions, we can make the announcements and the details of the transaction. I'd like to underline that this is not buying an electricity plant. It's for the remote electricity to serve the electrical consumption only of Ecopetrol. Remember, Ecopetrol is the main consumer electrical energy of the country. So these types of acquisitions do contribute to the power supply strategy that we have on a medium and long-term basis.
Unidentified Analyst: Perfect. Thank you. The other question is on the midstream that we haven't discussed, what impacts do you see on the midstream on revenue given the lower prices of oil today?
Unidentified Company Representative: Good morning Stephanie. I am the President of [indiscernible]. What we see on a short-term basis, the impact is small. And as Rafael said, the production does go hand-in-hand with our expectations of the year in terms of revenue.
Unidentified Analyst: So, you mean that there's no indexation of the rates on the oil prices?
Unidentified Company Representative: No.
Unidentified Analyst: Perfect. Thank you so much. At the end, going back to the regasification I understand that you're sub-hiring the capacity of re-gasifying. But how would the -- or better, can you clarify what the licenses that you would need to have this regasification and the milestones needed for this?
David Riano: This is David Riano, I'm the Executive VP of Energy for Transition. As we've said [Technical Difficulty] is charge of building the facilities, operating them and maintaining them to meet the availabilities of the service demanded in the contract. As far as the permits, the contractor already has them, especially the environmental authority has certified that -- they don't need the environmental license in the facilities at [indiscernible]. And the permits in Buenaventura are, in effect. So, according to the timeline of the contractor, the construction will begin June 28th this year. So that way, we can have the commissioning of the contract or even before the date factored
Unidentified Analyst: Great. Thank you for your answers.
Operator: Thank you. There are no more questions. So now let's read the questions of the chat. Peter asks, can you share an update on the discussions made on importing of GNL?
David Riano: Again, this is David Riano. In addition to what we've mentioned in this call on the contracting regassification, in the Pacific, and as we've also mentioned in the sector, there are two additional initiatives in the Caribbean that seek to make use of facilities of Ecopetrol. One is called Ballena LNG, which would connect on loading unit for regasification to the Chuchupa platform, which already is connected to Ballena and to the national grid of gas that's managed by TGI and in the Caribbean also Promigas. And in the second project, in the Caribbean, it's called Coveñas LNG, which will use the facilities of CENIT in that area the country and will connect to the gas system through the conversion of the group with Jobo Vasconia. This is advancing, yes. We already have conceptual designs. And we'll make the consultations before the environmental authorities and sea authorities to obtain permits quickly and to have this regasification of one or both or by 2027. In parallel, we've begun this year the requirements for the LNG in the international market. We already have non-binding offers of LNG providers overseas. And while we can obtain the permits, we can get the molecule.
Operator: Alejandro Sanchez from Alianca says do you plan to incorporate reserves this year for the Gato do Mato project? Are these approved, probable or possible accounting-wise. Could you give us more details about the situation of Barrancabermeja refinery because the charge dropped 8% year, but the plants began only three days of Gato do Mato?
Rafael Guzman: This is Rafael Guzman. Let me answer the first question. of Gato do Mato. Indeed, we are going to incorporate proven reserves this year, given the decision of investment on the project. Last year, we had certified 112 million barrels of oil for contingency the contingency was the approval the development plan from partners, which did take place this quarter. And most of these resources will go to proven reserves and that that other part to nonproven reserves.
Operator: Good morning. This is Felipe BP industrial processes. The decrease of 8% in the charge of the refinery at Barrancabermeja in the first quarter is for three things: one, the scheduled stop of the oil and the hydro treatment which stopped the operation. The second is the lower availability of light crude oil, especially in Caño Limón, the maintenance of the UAP2, which began at the end of the quarter, days before the operations were adjusted, and this affected the availability but it's important to keep in mind that this is a 74-day overhaul stoppage. It's part of the timetable or the schedule. And we expect with the UAP2 a contribution very, very important after the second semester. [indiscernible] balanced -- on the midstream business, is there any relevant update on the tariffs that should take place for the 2023, 2027 period? What's the impact expected from ANLA and Rubiales?
Alejandra Andrade: Good morning. This is Alejandra Andrade that we have experienced to update the tariff. It's been a year since we -- since the resolution was issued and the agents, the producers and the companies of transportation presented comments about it, and they were given on time to the Ministry of Mining. Now technical meetings to review the impact on the tariffs. But now there is no estimated date for the final resolution. It's important to clarify that meanwhile, we apply the tariffs that are in force. And on August 26, the Ministry published Resolution 285, which enabled an annual tariff that was included in the prior methodology. This was made as a stream scene compared to the first quarter of last year.
Q – Unidentified Analyst: Felipe Gomes [ph] from Ashborne asks, why does the plan presented by Ecopetrol to 2040 has a CapEx for ISA almost half of what ISA presented for its own 2040 strategy
David Riano: Good morning on the question regarding the environmental licenses against Tefrontera Energy and Ecopetrol, it's important to highlight that the procedure just began. ANLA has not charged [Technical Difficulty] its conciliate with the investment plans of Ecopetrol's investment plan by 2040 and there are major challenges not only with investments that are growing, but to renew some concessions. Now at Ecopetrol, we are analyzing and reviewing the strategy and surely there, we can align the investment plans that go between COP 28 billion and COP 33 billion, no $28 billion and $33 billion for 2025 to 2040.
Camilo Barco: Allow me to end this call. Thank you, thanking all of for joining us with the following messages. Ecopetrol firmly bets on its investment plan with the flexibility announced, enhancing the fundamentals of the business of hydrocarbons even in the middle of the complexities that we're seeing. Second, we will remain -- the idea of growing our business, we have disciplined with our working capital and the idea is always to benefit society and our shareholders and we will continue measuring, monitoring, sensibilizing and evaluating every element that can hurt the liquidity and the leverage of growth that can hit or hurt the company, which has to do with COP 1 billion that we will reach in savings at the end of the year. And all this, so together, we can build in making our big -- make this company -- the company of all. Thank you.
Operator: Thank you all. And with this, we end this earnings call for the first quarter of 2025. Thank you for joining us. You can leave now.